Jurgen Pullens: Good morning, everyone, and welcome to this virtual analyst meeting. My name is Jurgen Pullens, Director, Investor Relations of Arcadis. We are here to discuss the company's results for the fourth quarter and full-year 2020 released this morning.  With us on the call are Peter Oosterveer, our CEO, and Virginie Duperat, our CFO. We will start with a presentation by Peter and Virginie, which will be followed by a Q&A.  For the analysts attending this call, in case you would like to raise a question, please notify us using the chat box, typing I have a question or simply question. Please do so only after we have opened for the Q&A. I will call out your name, after which you can verbally raise your question to Peter and Virginie. Kindly keep to a maximum of two questions at a time.  Lastly, we'd like to call your attention to the fact that, in today's session, management may reiterate forward-looking statements which were made in the press release. We'd like to call your attention to the risks related to these statements, which are more fully described in the press release and on the company's website.  With these formalities out of the way, Peter, please begin. 
Peter Oosterveer: Thank you, Jurgen. And good morning, everyone. And thanks for joining us to discuss our fourth quarter and full-year results for 2020. When reviewing our performance for 2020, I believe that one must obviously start with COVID-19 and the impact that it has had on all of us.  And it does not quite feel like less than a year ago when we initiated our global COVID-19 task force and identified a series of actions to ensure continuity for our people, for our clients, and for our business as a whole.  We actually felt really proud back in March of last year to have moved 90% of our people to work from home within two weeks. But frankly speaking, I could have not imagined that this would have last for as long as it now has.  I am therefore I'm extremely proud of the way my fellow Arcadians have responded with resilience and agility, whilst staying very focused on serving our clients in the best possible way.  And I believe that it is that focus on our clients, combined with the actions we took, and all of that on top of the improvements we already initiated prior to this pandemic, which has enabled us to perform as well as we did in 2020.  Our clients have continued to provide us with new opportunities, which has allowed us to finish 2020 with a 5% growth of our backlog. We are also seeing that our clients are increasingly more interested to hear what Arcadis can offer to create safer, more resilient and more sustainable solutions, so that they also evolve stronger from this pandemic.  And also, obviously, very pleased to see that we have not been forced to reduce our workforce, that the engagement of our employees has increased, while our voluntary turnover decreased significantly throughout 2020.  Let me now provide a summary of our operational results for 2020 first, followed by quickly reviewing our performance against the commitments we made back in late 2017 when we launched our now prior strategy, and I will then turn it over to Virginie to get into further detail.  I believe that our overall performance deserves to be described as strong, certainly considering the very challenging circumstances. And I'm particularly proud of the improvement in operating EBITDA margin to 9.2% from 8.2% a year ago, and even more so the very strong free cash flow of €324 million.  It does show that our earlier initiated stronger focus on better project execution and expanded use of our global action centers and our focus on key clients, in conjunction with the actions we identified in Q1 of last year, were the right ones to take.  And finally, we are starting a new year with a healthy backlog as we were able to win a more than fair share of new opportunities, which created the growth of our backlog. And, Virginie, will obviously go into further detail, but let me know already specifically mention the outstanding performance in North America over 2020, a significant part of our business, as you know, and a business which continues to perform better and better.  I would like to now quickly review, on our next slide, our broader performance against the commitments we made when we launched our strategy of creating a sustainable future, now a little more than three years ago. When we launched our previous strategy, we did so whilst providing a balanced set of metrics across all three of our strategic pillars. We felt at that time that we needed to focus on our people and our culture by creating an inclusive environment with engaged people who would increasingly decide to stay with Arcadis. And reducing our voluntary turnover from the 15% at that time to now just under 9% is a very solid achievement and a testimony to the progress we have made.  We also wanted to ensure that we grew not for the sake of growing, but for the sake of increased quality of our earnings, and did believe that by focusing on a smaller set of key clients, more disciplined project execution, and an increased use of our global excellence centers, that will give us a really good chance to do both – grow top line, as well as grow the bottom line.  And finally, we initiated a stronger focus on pursuing opportunities and working in those countries and regions which will give us a right to play and an opportunity to win. And all of this needed to deliver better and more predictable financial performance and an improved quality of our balance sheet. And I believe that we also met those commitments.  I'll now turn it over to Virginie for further detail on our financial performance. 
Virginie Duperat-Vergne: Thank you, Peter. Good morning, everyone. Our achievements throughout the year demonstrate how we can resist even the current unprecedented market environment.  Our fourth quarter was strong again, despite a modest organic revenue decline of 3%. Our operating EBITA in the quarter further improved to €66 million, allowing us to close the 2017-2020 strategic plan at its highest level in terms of operating margin, with 11% for the quarter.  Our strategic performance enhancements initiated three years ago and the cost saving measures we took at the end of Q1, including our cash management program, led us to close the year so strong. Compared to Q4 last year, we reduced the net working capital by more than €200 million to €414 million. And this relates to an improvement in the net working capital as percentage of gross revenues of 20.6%.  Most of the improvement in net working capital came through our cash collection efforts, leading to a DSO of 66 days.  The strong first quarter performance brings us to a net revenue for the year of €2.5 billion, which resulted in minus 1.5% organic decline against the global pandemic backdrop.  Foreign exchange was also a negative factor, notably the weakness of the US dollar, taking €51 million off our top line over the year.  Our operating EBITA increased by 8% to €229 million, leading to an operating EBITDA margin of 9.2%, well within the strategic margin target brackets of 8.5% to 9.5% set for 2020. This improvement was the result of improved project management, increased use of global excellence centers and focus on key clients, combined with the cost reduction actions initiated in the first quarter to mitigate COVID-19 impact.  The net income from operations per share increased by 10% to €1.49. Order intake was €2.7 billion for the year, leading to an organic backlog growth of 5%, allowing us to start 2021 on a strong foot.  Turning to Americans. In Americas, we've seen a continued organic revenue growth of 5% and a margin improvement to 11.6%. We saw growth in all core business lines, especially in water in North America and in infrastructure in North America as well as in Latin America. Climate resiliency and sustainability clearly become a priority across client sectors. The high order intake allows the Americas to start this year with a strong backlog.  Turning to Europe now. Organic revenue decline was 2% due to COVID-19 crisis impact on European markets. Thanks to our structural strategic improvements, combined with cost savings, the operating margin improved to 8.2%. Overall, we saw public and green investments continuing to be strong.  Revenue in Continental Europe declined slightly due to less work from private clients. However, operating margin improved in the Netherlands, Germany and Belgium, offsetting some project write-offs in Italy. In the UK as well, we saw a solid performance and margins improved. Revenues were flat compared to last year. Growth in infrastructure and environment compensated for a decline in buildings. A major new contract win for the high speed railway or HS2 project provides significant continuity of work in infrastructure.  In the Middle East, we saw a revenue decline in line with our decision to reduce our footprint in that region.  In Asia-Pacific, overall, we saw the negative volume impact of COVID-19 on revenues. However, this was compensated by our cost saving efforts to mitigate the impact, which resulted in a 10.6% operating margin. Australia Pacific's result was strong due to revenue growth and efficiency improvements. The performance benefited from a solid infrastructure backlog, driven by investments in growth in major cities and federal and state government project wins since the beginning of the pandemic.  The net revenues in Asia declined due to the pandemic, which in particular impacted the buildings business in China in the early part of the year. The operating margin improved in the second half of the year, led by a recovery in China.  The diversification strategy initiated two years ago to increasingly focus on the Greater Bay Area in terms of geography and on environment in terms of business, moving beyond the core of cost management services. has resulted in improved performance.  Organic net revenue declines by 18% in the RTKL, affecting mainly retail and entertainment sectors, which were most severely impacted by industrywide slowdown, driven by COVID-19 crisis. Impact on workplace business was mixed.  China continued to be a stronghold with a steady stream of new business from existing clients. On top of the impact of revenue decrease on the P&L performance, CallisonRTKL full year EBITA is affected by €7 million on overdue trade receivables in the first quarter.  At group level, full year EBITA amounted to €224 million. EBIT was €83 million due to amortization and impairment of €141 million that mainly included a Q3 goodwill impairment of €126 million for Middle East and CallisonRTKL. This impairment is excluded in the calculation of the net income from operations. Net finance expenses decreased to €27 million. Interest expense on loans and borrowings was €18 million, substantially lower than last year due to lower average gross debt and lower interest rates. Net income from operations adjusted for non-recurring elements was €133 million at 12% compared versus last year.  Starting point of our cash flow was our increase in EBITDA to €349 million. The strongest contributor to this increase in free cash flow came from the substantial reduction in working capital that led to a cash inflow of €168 million. Most of the working capital reduction came from our cash management program initiated at the end of the first quarter, reducing our dues and improving the conversion of unbilled into receivables. Roughly €50 million of this improvement corresponds to the catchup on the invoicing process in the US following Oracle implementation.  Moreover, the net working capital improvement was helped by significant earlier-than-expected cash collections on ongoing public contracts in December. These improvements were slightly offset by the reduction in payables.  Changes in other working capital is mainly due to €47 million of VAT and social contribution cost payments defaults granted by governments in the current pandemic crisis context. This will be almost entirely paid for in 2021. This amount is largely offset by prepaid expenses for software and IT contracts, amounting to €32 million.  Our capital expenditures were relatively low at €35 million due to strict CapEx management. All this resulted in a free cash flow of €324 million.  Our goodwill decreased by a substantial part due to the goodwill impairment for the Middle East and CallisonRTKL of €126 million. The quality of the net working capital significantly improved due to strong cash collection and increased invoicing efficiency, trade receivable and contract assets or unbilled receivables were substantially lower.  Trade receivables were €138 million lower at €468 million at year-end, while DRO was down to 66 days. Overdue receivables decreased significantly in all overdue categories, representing a 10 days improvement in our DRO. In total, the overdues decreased by €100 million. Net work in progress that consists of contract assets, net of contract liabilities and provision for onerous contract, substantially decreased to €130 million on €294 million last year. We also paid attention to paying our suppliers in time and advanced some payment in December in anticipation of the implementation of our Oracle ERP in Continental Europe.  The cash generation was for the most part used to further reduce the debt to €48 million, resulting in an average net debt to EBITA leverage ratio of 0.7. During the year, the group repaid €17 million of debt in May, $70 million in October and issued also successfully a new Schuldschein of €150 million in October. At year-end, net debt was €848 million due to the significant increase in cash. During the Capital Market Day, we reaffirmed our dividend policy of a 30% to 40% payout ratio based on our net income from operations adjusted for non-recurring events. We also committed to avoid dilution.  Our EPS growth based on net income from operation was at 10%, which allows us to offer a dividend proposal of €0.60 per share, corresponding to a payout ratio of 40% and in line with our dividend policy as stated during Capital Market Day.  We also decided to expand the current share buyback program with an additional repurchase plan of 1.35 million shares. We will continue to invest in our capabilities and digital solutions. In addition, we'd like to grow our company with acquisitions that are aligned with our strategic priorities and will strengthen our position as digital frontrunner.  Looking back, we confirm we delivered our strategic commitments for the last three years as well as a total shareholder return of 142% over the same period.  And with that, I hand it back to you, Peter.
Peter Oosterveer : Yes, thank you very much, Virginie. So, so much for looking back. Let's now spend a few minutes before we open it up to look forward. And let me wrap up this presentation with a summary of our 2021-2023 strategy, maximizing impact, which, as you know, we launched in November of last year.  We believe that there are four global mega trends which impact societies across the globe, as well as obviously our clients, which as a result of that provide many opportunities for us.  As an example, the fact that the world's population is expected to grow to over 9 billion in 2050 will drive further urbanization. The now undeniable impacts of climate change will require the creation of more resilient assets, while at the same time accelerating the energy transition. And decentralization will create both efficiency gains as well as open paths to different business models.  And we do believe that the impact of these trends will be compounded, and actually also accelerated by increased societal expectations to create a more sustainable, more inclusive and more equitable future for all.  And Arcadis is in an excellent position to benefit from these trends for several reasons. Firstly, because of our resume, our experience, the experience of our 27,000 employees, combining extensive and deep asset knowledge in, for example, mobility and buildings, with a proven ability to integrate sustainability requirements into the design, creating resilient solutions for our clients.  Secondly, through the progress we've made in delivering digital products and services, both in our core business, but also through the launch of Arcadis Gen, which happened in early 2020, as you'll recall, and the latter of which will be a springboard for further growth and the creation of the different business models I spoke a minute ago about.  And thirdly, due to our much stronger and solid foundation created through improved and predictable project execution, expansion of our global excellence centers, and focus on our key clients, all of which have further opportunity for additional improvement.  And just as we did three years ago, we are again transparent in sharing our targets for this strategy cycle, making again a distinction between financial and non-financial targets, which will culminate in fully integrated reporting.  In terms of financial targets, we simply aim for further improved, predictable, and profitable growth, satisfying all of our stakeholders. In terms of non-financial targets, we want to further advance our cause to be an employer of choice through a lower voluntary turnover and higher engagement and also through creating a diverse and inclusive culture.  And we also commit to further lowering our carbon footprint to align with 1.5 degree science-based targets and to achieve this as soon as possible in any event before 2030. We furthermore plan to develop a structure which will allow us, in a more tangible way, define how the work we deliver on our projects for our clients contributes to a better, more sustainable world.  Looking back, over the past three years, Arcadis has come a long way. We resolved legacy issues, focused our organization, made choices and steadily improved our performance even during the unprecedented conditions we experienced last year and are actually still experiencing as we speak.  Looking ahead, we are really well positioned to maximize our impact and the impact of all our stakeholders by seizing opportunities which play to our strengths, allowing us to apply our global capabilities and experiences, investing in our strategic priorities and delivering the resilience and future proof solutions that our clients need.  And with that, I'll turn it over to Jurgen and to handle the Q&A.
A - Jurgen Pullens: [Operator Instructions]. I see a first question I see here for Hans Pluijgers. 
Hans Pluijgers: Two questions from my side. First of all, on the margin improvement full year and especially in Q4, you pointed out, first of all, that, indeed, a big part is also a result of the strategic investments and strategic decisions you have taken, for example, focus more on the GECs, focus more on the key accounts, but also, of course, cost savings. Could you maybe elaborate on the breakdown of the impact of those two different – on the margin? So from the strategic perspective and from the cost savings.  And then, work in progress, full year, a clear decline in unbilled receivables. Of course, in H2, also, seasonally, but if you could give here some, let's say, explanation and some flavor, additional on the strong decline in work in progress, especially also compared to development in sales.
Peter Oosterveer: Let me start off and then I'll ask Virginie to fill in the details. And thanks for these two important questions because they are probably the most significant parts of what we consider to be a strong performance.  So, first, on the margin improvement, it's tempting to look at the last year only because of the significant impact corona has had on all of us. But I want to remind everyone, as you rightfully indicated, that we have already identified and enacted a number of improvements which already before corona created improvements in our margin as well. And they are indeed the expanded use of our global excellence centers, much better project execution through our Make Every Project Count program and the focus on a smaller number of key clients. And before corona, that already created an improvement. And that has continued.  And, of course, what compounded the improvement is the opportunity we seized through our 2020, unwillingly so, but it's still a fact, to create cost reductions, including in much less travel. And some of that will, of course, stick going forward because I think we've all come to the conclusion that what be considered to be a normal pattern in terms of traveling is likely not always necessary and will be a different pattern going forward. So, clearly, the improvements have helped a lot. And the cost savings which we created through 2020 have given us the additional tailwind.  And I'll let Virginie add to it and then also handle the question on the work in progress.
Virginie Duperat-Vergne: If I wanted to help build the bridge, I would say, that the volume decline and, let's say, some of the hits that we had in Q4, such as, for example, the receivable provision CRTKL has been absorbed by cost savings and that the remaining improvement on the margin has come from the performance. So that's it. So, it's a huge bunch of cost savings that allows us to absorb volume effect. But also, let's say, this additional hit and the improvement in margin comes from better efficiency in a large number of areas, the GECs and MEPC, for example, that's probably hit.  And then, if I wanted to turn to your question on work in progress and the strong decline, the focus that we've been having all year long in terms of cash management, I have to say that this doesn't start only with receivables. It starts with the entire process of making sure that you turn quite quickly the work in progress in unbilled that you understand where you are and then turn everything in receivables that you can then address to the client. So, the reduction in work in progress is really due to this acceleration in terms of efficiency. Part of this has been really supported by the implementation of Oracle in North America. As you know, North America is a big bunch of what we do. So after, let's say, a startup which has been difficult, as you remember, then we start getting the efficiency of having that onboard and having them create a better use of our processes.
Jurgen Pullens: Then I'd like to hand over – open the room for Henk, Henk Veerman.
Henk Veerman: The first one is on the order book, which is up 5% organically, seems quite strong. I think one of your most important peers recently talked about a stable order book. So, what is particularly strong in the order book? And how does the order book phase throughout 2021? And can you say anything about the pricing in the order book? That's my first question.  My second question is on Callison. You mentioned in the press release that Callison is preparing for a recovery of demand. So, should we already expect a recovery in 2021 and maybe even in the first half of 2021? I mean, in Q4, we saw a further slide of sales. So, should be expect a V-shaped recovery or more a recovery towards 2022? Thank you.
Peter Oosterveer: I'll also kick off here and then I'll let Virginie fill in the blanks and the additional detail, if you like. So, on the order book, first, we are indeed very pleased that, in addition to the strong performance in 2020, we are starting 2021 from a really solid foundation, with an order book which is higher than it was a year ago and all of that in these unique circumstances.  And it follows largely the performance we've seen in the region. So, where you see strong performance, you see the same strong performance in order book. I think our focus on key clients does help an awful lot here. Also, in terms of winning award from new clients. So, it is largely across those regions, which already performed quite well in 2020.  I'll make one additional comment just in case it comes up as a separate question that we also actually had some significant wins in the Middle East. That might sound like, how did that happen and why did that happen. I want to take you back to the third quarter, which is only a quarter ago, when we did announce that we would over time reduce our footprint in the Middle East. But at the time, at the time we announced it, we also announced it to the rest of the organization. And we prior to that had, of course, pursued a number of opportunities which have come to fruition. And in addition to that, we've also said that we would only take on additional new work if it was on an existing project or for a client which has proven to us that they pay us in time. So, just in case people wonder why, with the decision we took in the third quarter, we're still growing, or at least had a healthy book-to-bill in the Middle East. It is for those reasons.  And that is not something we expect to continue. We still stand by what we announced in the third quarter, which is to, over time, reduce our footprint in the Middle East, while, of course, still committing and delivering on the commitments we've made to clients when we signed up for particular projects.  I'll also take a shot at CallisonRTKL first and then again, Virginie, feel free to add. Needless to say that the performance in CallisonRTKL throughout 2020 has been disappointing. The reasons are largely because of the markets they serve, where I will make a distinction between places where they operate where we already see an improvement. Virginie also spoke about China when she spoke about CallisonRTKL where we already see improvements, which is largely because China is – you could say out of the corona crisis. But 2020 still has been a disappointing year.  When exactly in 2021 we will turn the corner is unfortunately still largely depending on to what extent, throughout the year, we will get corona and we, as in societies, get corona under control, enabling and allowing clients to continue with their investments. China, in that regard, is almost like an indication their corona is largely under control and things are largely back to normal. And sure enough, clients are picking up where they left it before corona. So, our expectation is that we would see the same in other regions where CallisonRTKL operates. Virginie, feel free to add, if you like.
Virginie Duperat-Vergne: Maybe just coming back on the order intake, I think it's probably worth mentioning that what also brings us to a strong backlog at year-end is that we had a strong order intake over the year. But also, despite the very, let's say, complex circumstances due to COVID crisis, we finally did not face a huge number of cancellations in our backlog. So, that's really sustained the backlog. This is, for sure, the result of the extremely good work that has been performed by the teams all over the world. They have been able to deliver the project more or less in the original timeframes that had been agreed with the client. And even working remotely, we've not been experiencing, let's say, major disappointments or such due to the situation. So, that's really also been helping fueling the discussion with the clients and making sure that we could rebuild order intake for the year. And in fact, also reducing the number of cancellations because the discussion and the momentum was still there.
Jurgen Pullens: I'd like to hand over to Quirijn, if possible. 
Quirijn Mulder: My question is about your mid-term targets. Looking what's happening today with regard to results, to what extent are you happy with your 10% EBITA margin or over 10% EBITDA margin still given what's happening? Knowing that if the organic growth is resuming during 2021 and the effect on your operations and [technical difficulty] profitability, so can you maybe elaborate on that?
Peter Oosterveer: Obviously, we are very pleased with the performance to date. I think there's some unique circumstances which have provided that additional tailwind. But I will also say again what I said in response to Henk's question that we were already on the trajectory of improving our margins. And we learned additional things, and they are helpful. And they gave us confidence that what we set only, what is it, three months ago or thereabouts to create targets – or to set the targets for the operating EBITA over 10%, it creates obviously a lot of confidence that we will be able to deliver on these targets just as we did over the last three years. So, yes, confidence and comfort that we can deliver on these targets in excess of 10%.
Quirijn Mulder: So you're not afraid that they are somewhat low? Let me say, given the leeway you still have for improving you margin, let me say, outside revenue growth, but you have still the room in terms of GECs effect, you have still room with regard to make every project count with too low margins, et cetera?
Peter Oosterveer: Well, you could argue that is too low, but over 10% is, of course, something with a margin. So, if we had said 10%, then I would have understood your question. And I of course still understand your question, but we said over 10%, and that gives us quite a bit of room for additional improvement on top of just sticking with 10%.
Quirijn Mulder: Yeah, that's fine. The other question I have is on the cash flow. So, €324 million full year 2020 was somewhat inflated because of government support. So, how much do you expect to pay back and what was the impact of the ERP system working smoothly in the US and the positive impact on the cash flow in 2020? So, to give us an idea about what the normal operational cash flow can be in 2021.
Peter Oosterveer: Virginie, you want to take this one?
Virginie Duperat-Vergne: Answering your question on cash flow and everything that relates to deferrals amount to €47 million. So, we are more or less quite exhaustively going to pay this amount this year. So, you can reverse exactly that amount on free cash flow anticipation in 2021.  And then, for sure, in cash flow, we also had the exceptional catch-up on Oracle, which is a catch-up on 2019. That also impacted 2020. That needs to be restated. And probably also the amount of, let's say, anticipated or at least very accelerated payments that we had on some receivables at year-end in December. Then in terms of government support and such, namely in the US, was not a lot major. We've been using a little bit of the furlough system that was available. But we are rather seen as a kind of, let's say, companies that's been preserving employment all over the world. If you have a look to the headcount, you will see that it's rather stable year-on-year, meaning that we manage to almost remain steady and not restructuring or letting a lot of people go. So, that's probably it. And we didn't receive a lot of positive impact on the P&L. We had, I think, €8 million government support on H1 and received almost the same thing for H2. So, that brings the total impact for the year around €16 million.
Jurgen Pullens: There's a follow-up question from Hans Pluijgers. 
Hans Pluijgers: Question on the growth of revenues. In Q4, you saw a quite steep decline, much steeper than the net revenues. And also, a little bit through the year, that was visible. Is there any specific reason for that? Or is that also that you may be refocusing with the kind of project you are working on that will result going forward also in less third-party work.  And then secondly, on the wage cost, Virginie indicated that indeed the number of employees are stable through the year. But could you give maybe some feeling on how the wage cost has developed? Has that declined in line with the top line? Or can you give maybe some additional flavor on that?
Peter Oosterveer: I'll do the same thing. I'll start first, Hans. There's no specific reason why the gross revenue declined more than the net revenue. That will be the result of mix. What I will say, though, is that, in the fourth quarter of last year, and more specifically, in December, I think the amount of work we did perform, or to say differently, the amount of time people took off, compared to prior years because they really needed to recharge the batteries is probably higher than it has been in prior years simply because of the unique circumstances. So, I wouldn't read too much into the fact that the gross revenue declined more than the net revenue. That's certainly a mix issue, as it normally is when these things get a little bit out of sync. On wage costs, you made me realize that I didn't necessarily answer your first question correctly because you also, I think, had a question about whether we see any – or that was actually a question from Henk, any pricing pressure. So, let me take those together now.  There is no pricing pressure out of the ordinary in the market. So, we're not seeing that because of circumstances – we see pressure either way, up or down. It's pretty stable in all fairness. And in terms of wage costs, I would give you the same answer. It is pretty stable. The wage costs throughout the year, obviously, doesn't change that much. It's something that's changed at the beginning of the year if we decide to give pay rises to people and that follows largely what the industry as a whole does. So, nothing out of the ordinary.
Virginie Duperat-Vergne: Maybe just complement on the personnel cost a little bit. So, there is a small decrease year-on-year, I think, on the personnel cost, which is not really sensitive compared to the bench amount. I think that, in total, it's probably a €2 billion what we have in personnel cost and we are probably in net €60 million less year-on-year. I would say something like this by memory. So, it's not a huge decrease. There were, for sure, some cuts that have been there [indiscernible] committing to corporate bonuses and such. So, reducing the provision for that. Some salary cuts that have been decided also when COVID crisis started, and let's say, some monetary compensation all over the world to the crisis of people for taking some leave days and such. But it's a limited [technical difficulty].
Virginie Duperat-Vergne: I see that Henk Veerman has also another question. 
Henk Veerman: Two follow-ups from my side. So, firstly, on buildings, I think commercial buildings, I think is probably the weakest part of the service offering or the end markets, if you will. Can you update us on discussions you have today in this end market? And is there already a bit of optimism visible in the market? Or is it expected to remain weak, at least for the beginning of this year?  And then, the second question is on some capital allocation. I think everybody was quite surprised about the low net debt. Obviously, there's still some deferred payments outstanding. But nevertheless, you had an unlevered balance sheet. What kind of discussions did you have in the group in this full year when you made up the balance? You do a buyback, but it's not a large buyback, mostly to offset script dividends. Have you considered doing a larger buyback? Or are you preparing for a larger M&A? And what are your thoughts on doing M&A?
Peter Oosterveer: Let me also here start it off and then ask Virginie to add any additional comments.  Buildings first. This is a bit of the same story, as I've tried to explain before. Where we see that things are getting under control, and unfortunately, there are not many places in the world which can safely say they have things under control. I'm talking about corona now, of course. Except for China as one of the larger countries, of course. There we see things normalizing. In China, we had a really good book-to-bill in the first month of the year. And so, that builds on the belief that by the time that there is a degree of comfort that things are better, that you will see things improving. And that's what we see in China. You also saw the comment, again, Virginie made about China in the context of CallisonRTKL. So, it's another example of where things are under control. Our clients are more comfortable to proceed with the investments.  On buildings as a whole – and that is probably a broader question. The use of buildings and the future of buildings, of course, will be different. I think everyone, including we ourselves, are looking at the learnings out of this pandemic and whether you need the same footprint as you needed in the past. And we started to evolve the answer to that question to the point where we believe the answer is most likely not. We won't need most buildings and I presume that many others are going through the same learning.  Now that doesn't mean that I expect that, all of a sudden, the buildings business will crater, but what I do expect is that you'll see a lot of repurposing of buildings and repurposing of buildings is also an opportunity for us. And we already see some of that where clients are thinking about, okay, if the building used to be an office building, but it now needs to be something else, then I need help. So, buildings is obviously mostly impacted by corona. But in summary, where you see improvements, situation under control, it starts to improve the buildings business as well. On capital allocation, obviously, a logical question too because of the significantly improved situation. We are obviously looking at this all day long, I would say almost, and we have come to the conclusion that the environment in which we operate is simply not stable enough to actually take any bolder steps at this point in time. And I just probably have to use the example of lack of stability in our own little country. On Tuesday morning, we woke up and thought we had a curfew. During the day, we thought we didn't have a curfew anymore. And before we went to sleep again, we had a curfew. Just another example of lack of stability. And that makes us still be very prudent in terms of capital allocation.  And I'll let Virginie add color she wants to add in that regard.
Virginie Duperat-Vergne: I think the example is really talking to us. We navigate as best as we can, for sure. We might have a look also to the remaining gross debt that we have. Some of it is going to be reinvested. Whatever happen in 2021, it's scheduled. And we should have a significant investment to make in H1 2021 on platforms. So, it's really also the part of the restructuring of, let's say, our balance sheet that we are currently [technical difficulty].
Jurgen Pullens: I do see that Martijn den Drijver has actually three questions. 
Martijn den Drijver: Actually, a couple of bookkeeping questions, but what I'm seeing in the cash flow statement is a €15 million cash inflow from investments in consolidated companies. Could you please elaborate a little bit on that?  And the two bookkeeping questions, accounting questions are on a CapEx? Could you provide some guidance on what we should expect in 2021? And the same for tax? Thank you.
Virginie Duperat-Vergne: Yes, the investment relates on not an investment. We have to say that we have insurance captive for our long dated and such. So, this insurance captive has to be consolidated in the financial statements. This is an old – this was an accounting error and it's been corrected in the year. That's why you arriving a bit of amounts on the face of the balance sheet. It's also bringing a bit of additional cash. So, that has a small impact, I have to say, and a bit of impact, also a negative one, in net working capital because, as you see, it's an insurance captive. You have provisions on the face of the balance sheet, some of them being quite short term provision as this is an insurance captive for low impact, high frequency potential risks. So, that's the impact on the consolidation.  We've been also acquiring last year a Lascaux company named Over Morgen. And so, we've been finalizing the PPA churn, but that has no impact. And there is, for sure, the, let's say, outflow of ALEN over the year because we've been managing to get, let's say, the story of the ALEN investment fully closed.  Answering on CapEx, €35 million of CapEx this year was a result of strict management. And so, we've not been making a lot of those. Next year, we've been committing in the Capital Market Day to €40 million to €60 million a year in terms of CapEx. We might probably see ourselves in the highest range of these ones. Because this is also the first year on investment in our new strategy and those namely digital investments and such. So, that's probably the best element I could give in terms of CapEx for next year.  And in terms of tax, yes, I have to say that our countries are very independent and such, one from the other. So, we are taxed depending on the countries where we do make a profit. And while we can have, let's say, relatively low rates in such countries, we still have areas where, let's say, profitability is lower and we cannot compensate. And that brings a little bit of, let's say – not a lot of capability of using some reportable losses here and there. But I would bet on a stable 30% on the long term rate or something like this in terms of building cases, and not something very exciting or such, but I think this is what it is at the moment.  Please bear in mind that the goodwill impairments that we had this year, even if CallisonRTKL in the US, none of this goodwill impairment In California, in the US, none of this goodwill impairment is tax deductible. And that creates, let's say, a huge impact on the face of the P&L when you do read the tax impact for the year.
Martijn den Drijver: I was apologizing to Virginie because I didn't understand the first part of the answer about the €15 million cash inflow. You said something about insurances? Could you please repeat it because I didn't quite catch that?
Virginie Duperat-Vergne: It's an insurance captive. We have an insurance captive sell, like a lot of companies do have. And so, historically, this company was not consolidated in our financial statements because it's not an isolated company. It's a sale of a company. But if we do apply fully the rules of consolidation, this needs to be in our consolidated financial statements. That's why is arriving this year in the consolidated financial statements because we've been taking this correction. 
Martijn den Drijver: So, it's insurance units that you own [Multiple Speakers] consolidate?
Virginie Duperat-Vergne: Yeah.
Jurgen Pullens: I don't see any more questions in the chat room. We have a couple of minutes left. Maybe, Quirijn, do you have a final question because I can't see your hands?
Quirijn Mulder: In your order book, and let me say, you see 5%. But that does not say that you are expecting something like an organic net revenue growth in 2021 to be that good. Or is that something we can use as a starting point here?
Peter Oosterveer: To answer that question, Quirijn, I probably have to just refer you back to the commitments we made during the Capital Markets Day where we said that, in terms of growth, we would be looking for mid-single-digit net revenue growth. And that commitment, obviously, I haven't changed.  What we said about the order book was that, if you have an order book which is larger than where you started last year, that should give you confidence that that is something within reach.  Was that helpful?
Quirijn Mulder: Yeah, it is. But I'm still somewhat circling with your first quarter 2021 against 2020? Because the corona was marginal impacting your business. So, I'm – still what's puzzling for, let me say, first half 2021, what's going to happen here? 
Peter Oosterveer: I get that point. If you compare Q1 2021 with Q1 2020, that is probably a difficult comparison because 2020 was no corona or virtually no corona. 2021, likely will be. We didn't break it down by quarter. We just look at the whole year.
Jurgen Pullens: Okay. I don't see any other questions. So, then I'd like to turn back to Peter for some closing remarks. Peter?
Peter Oosterveer: Yeah. Thanks, Jurgen. And thanks, everyone, again, for your questions and for your interest in Arcadis. Reflecting on 2020, I am still sitting here being very happy with our performance. And I know that, in these difficult times, it is sometimes difficult to almost say that you're happy. But I have to say that I'm very happy with the performance of Arcadis. I'm very happy with what our people did in 2020 to get us through this crisis.  I also feel that 2020 actually gave us an opportunity to accelerate some of the improvements we had initiated before corona. As an example, we said in the beginning of 2020 that we would want to do more work in the GECs. And we actually did so. And actually, we did a little bit more. And that also is probably the support you always need in in a situation like this to do more than what you thought you could do.  And I'm thinking about this in the context of a statement which someone at one point in time made is, never waste a good crisis. And I think that is exactly what we did in 2020. We didn't waste a good crisis. We took our learnings. We continue to accelerate things we could accelerate. And more than that, if I think that then looking forward, and then take into consideration what we see in the world and what we hear from our clients, then consistently we hear a stated expectation for more resilient and more sustainable assets.  If we then add to it, the increased recognition and increased necessity to finally act on the impact climate change is creating on societies, then that all together gives me a lot of confidence for 2021.  So, I'm sitting here happy about the performance of 2020 and with really good confidence for 2021 and beyond. 
Operator: Okay. Thanks for listening, all. You can now close your connection.